Vincent Ippolito: Welcome to the webinar. I'm Vincent Ippolito, the Executive Chairman of the Board for Botanix Pharmaceuticals Limited here. It is the top of the hour. We're expecting close to 300 participants with preregistrations and those that are continuing to come on right now as we speak. But we're going to get started with today's webinar. Well, the company has come a long way since our highly successful commercial launch of Sofdra in February of 2025. It's really hard to believe that was just a little bit more than a year ago we launched. And we're pleased with the progress the company has made. And with the approval of the balance of the capital raise later this month, we believe that we'll be well positioned for future growth. Well, the purpose of this call today is to discuss the 2026 half year report. And at the end of the presentation, we'll have some time for some questions from the audience regarding the report. You could type them into the chat section there. We'll try to capture as many as we can. We got a few questions in advance as well of this webinar that we're going to incorporate into the Q&A as well. And for all participants, all questions are monitored and moderated. And I'm joined here, as you can see on the screen today by our Chief Executive Officer, Dr. Howie McKibbon; and the U.S. Chief Financial Officer, Chris Lesovitz, who will take you through today's presentation of the Botanix half year report for the period ending 31 December 2025. So with that, I'm going to turn the presentation over to Howie to get us started here.
Howie McKibbon: All right. Thank you, Vince, and thank you to all the attendees for taking the time to join the call today. So today, I'm going to provide a summary, a brief company overview, and then we're going to quickly move over to our first half results. So Sofdra experienced strong growth in the first 11 months of its launch with 62,500 prescriptions shipped, almost $100 million in gross revenue and $21.2 million in net revenue over that time period. During that time period, Sofdra, our sales force and our platform performed above our expectations. The Botanix fulfillment platform created the opportunity for frictionless access for both patients and physicians. It has the capacity to add products, which can benefit from improved gross to net yield, a fill rate exceeding industry standards and a high rate of fully reimbursed prescriptions. Market conditions are favorable for M&A of products that would benefit from our platform, and our focus right now is to maximize its scalability with additional assets as they become available. Selection is underway for an alternate active pharmaceutical ingredient or API supplier, which is expected to decrease cost of goods sold by 25% to 40%. And given that Sofdra's IP or intellectual property runway goes all the way to 2040, it adds considerable value creation for both the profitability and can increase attractiveness to our potential acquirers in the future. So after the period ended, Botanix received firm commitments for a $45 million capital raise. We've received $14.9 million in funds to date under that raising, and the balance will be subject to shareholder approval at our meeting scheduled on April 1, 2026. And you can refer to our Notice of Meeting released to the ASX yesterday for further information. So let's transition over to the quick company overview, and we're excited to get to our first half results. Next slide, please. So most of you are very familiar with Botanix, but for those that are new, it's a fast-growing dermatology company that successfully launched Sofdra last February, as Vince said earlier, for the treatment of hyperhidrosis, which is commonly referred to as excessive sweating. So it's the first and only new chemical entity for primary axillary hyperhidrosis, and that affects over 10 million patients in the U.S. alone. So 2 things I want to put in perspective here. First and foremost, as a new chemical entity, there were only 46 NCEs approved in the U.S. across all therapeutic categories in 2025. So we're very fortunate to have one of these NCEs. And second, with a 10 million patient TAM, we are the third or in the third largest dermatological condition that exists. So a large underserved population with a new chemical entity with patent protection going all the way to 2040. Our platform has proven to increase patient compliance or adherence, which is the extent that patients stay on their drug treatment. That's very valuable for us. It makes those patients sticky. It's very valuable to the patient because they're getting the treatment that they need and ultimately the efficacy that goes along with it. It continues to exceed industry benchmarks at 2.5x the industry standard with regard to fill rate. And we'll discuss further the innovative platform and why it's a key asset to the company later in the presentation. And finally, the sales force expansion of 50 sales specialists was completed in 20 October last calendar year. Both the new hires and the existing sales professionals have been highly productive, and they're performing as expected or in some cases, better than expected. We expect the new sales specialists to build momentum as they penetrate new states, physicians, areas, and we look forward to them helping contribute in a meaningful way to increase Sofdra prescriptions in the future and helping to ensure that as many patients as possible get the treatment that they need for their hyperhidrosis. Next slide, please, David. Okay. So as we said earlier, Sofdra is indicated for primary axillary hyperhidrosis going all the way down to children 9 years of age and over. So a very large part of the population. It presents a novel, safe and effective solution for patients who lack treatment options for this socially challenging medical condition in the past. And we believe the novel mechanism of action of Sofdra allows it to reduce sweat at its source. selectively in a very targeted way, binds to the M3 receptor, which is the receptor implicated in sweat [ glands ]. So it blocks that, receptor does its job. It's rapidly metabolized once it's released and hits the bloodstream. And that helps, we believe, minimize the side effects or adverse events, which were told by patients and physicians are really living up to the clinical profile of the clinical trials. Doctors have also told us that the proprietary metered dose pump, which helps limit an unwanted drug contact to the hands is one of the key reasons they prescribe Sofdra in addition to the safety in the platform itself. Next slide, please. So let's talk about this TAM. It's a large market for Sofdra, and it's an underserved population. There haven't been many treatment options in the past. And just to put that in perspective, consider that primary hyperhidrosis affects twice as many patients as psoriasis. That's generally a very large disease state recognized within the U.S., both by patient numbers and by dollars sold. So it's the third largest dermatological condition after acne in atopic dermatitis. So that 10 million patients is a big opportunity for us over the product life cycle. Of those, about 3.7 million patients are actively seeking treatment, and those are the patients that our 50 sales representatives are going after and educating those physicians. So we'll transition over the next slide directly to the half year results. So we've seen solid growth of prescriptions shipped each half since launch. In the first half of fiscal year 2026, total prescriptions grew to 45,800 or 45,800 from 16,800 in the second half of fiscal year 2025. That increase in prescriptions and solid refill rates continue to indicate rapid acceptance of the benefits of Sofdra by both physicians and patients alike. Let's transition over to net revenue. Net revenue increased from $5.1 million in the second half of fiscal year 2025 to $16.2 million in the half year ending December 31, 2025. That's a 219% increase, and we expect net revenue to continue to grow into the foreseeable future for many of the reasons we've already discussed today. One of the reasons for our continued our optimism is what physicians are telling us. So we conducted market research back in Q2. And the results of the research show that Sofdra strongly resonates with health care professionals and that 90% of those surveys expect to increase Sofdra prescribing in the next 6 months. This gives us great confidence in the product and its potential growth. Sofdra use was driven primarily by streamlined access, strong efficacy, unique applicator and safety. Physicians also assured us that many patients remain -- I'm sorry, undiagnosed in their practice, which tells us that there's a large opportunity here for those patients they already know habit that are coming in and raising their hand, but also for those patients that see our materials in the waiting room that are reminded to talk about their condition to their physicians and actively bring that up. So the combination of this feedback does 2 things. First and foremost, they're happy with the safety and efficacy of the product. And knowing that we have this product until 2040 allows us confidence that we're going to be able to continue to build upon it. The second is their high rating of the reason to prescribe assigned to SendRx or our fulfillment platform. Also tells us that if we come in with other products, they already know how to use the platform, and they're looking at that as a benefit to any product that we bring in to put on that platform. Let's talk about the platform itself. It's a huge asset of the company. Like I said earlier, it provides streamlined fulfillment and access through a single pharmacy network that supports both dermatology practices and the patients. And that's important from a prescribing perspective, but also the patient getting their prescription and just as important, getting the refills that exceed the industry standard. Now a key value driver of the platform is its ability to improve insurance clearance rates. So we get a larger number of fully reimbursed prescriptions, ensures that patients can easily access the product, makes it convenient for physicians to prescribe. And what they tell us is that when they have the confidence that their patients will get the prescription they prescribe, they're more apt to prescribe the product more in the future. It allows for personal follow-up with patients by the pharmacy. This effectively drives the adherence and the refill rates that exceed the industry standard and ensures that Botanix has high visibility into pharmacy operations, which allows us to make rapid changes based on the insights that we get on a very frequent basis. I think just as important, if not more important, is that the platform is scalable. It's proven that it can handle the throughput and it positions Botanix for future growth. It can improve the gross to net yields for a new product, increase its refill rate and contribute significantly to net sales without incurring any additional development costs. So something that we might bring on, put on top of that platform can be immediately accretive. Now I'd like to introduce our Chief Financial Officer, Chris Lesovitz, and he's going to take us through the financial results, and I'll come back and close the presentation.
Chris Lesovitz: Thank you, Howie. I'm pleased to walk through our operational and financial performance for the first half of fiscal year 2026. Let me begin with our operational progress. Over the last 6 months, we successfully completed the expansion of our sales force to 50 representatives. This was a core strategic priority for us, ensuring we have the commercial reach needed to support sustained growth. We also continue to enhance the performance of our Botanix fulfillment platform, which is driving greater patient compliance and improved gross to net. Our commercial execution translated into meaningful volume growth. Total prescriptions shipped in the first half grew by 171%, reaching 45,800 prescriptions. Importantly, sentiment among our health care professionals remain overwhelmingly positive with 90% of our providers indicating that they expect to increase their prescribing of Sofdra over the next 6 months. Now turning to our financial results for the period. We delivered $16.5 million in total revenue, which includes royalty revenue during the first half of fiscal year 2026. Materials and related expenses totaled $6 million. Our direct operating expenses totaled $36.6 million, which includes product sales and marketing, employee, corporate consulting and G&A expenses. These expenses reflect the investments we made in our commercial footprint and support functions as well as we scale. Our adjusted EBITDA loss for the half was $26.1 million, and we closed the period with $31.6 million in cash and equivalents. On the slide now is our statement of profit and loss. The total revenue increased to $16.5 million compared to $346,000 in the prior corresponding period. Sofdra was not fully launched yet in the first half of fiscal year 2025, whereas in the first half of fiscal year 2026, we generated $16.2 million of U.S. Sofdra revenue following its introduction in the second half of fiscal year 2025. So our operating expenses reflect a scaling commercial business. Expenses increased in line with the investments required to support a national U.S. launch. You can see here our materials and related expenses rose sharply to $6 million due to the uptick in prescription volumes as well as associated royalty payments we made during the half. Our sales and marketing increased to $24.7 million as we expand our promotional activity and field force coverage. Our internal employee costs grew to $7 million. This was driven by recognizing a full 6 months of internal headcount in the first half of fiscal year 2026 versus prior period of staffing was partial for fiscal year 2025. Our G&A expenses remain controlled, decreasing slightly year-over-year to $3.2 million. And now for our noncash expenses, our share-based payments declined significantly due to vesting timing, and we recognized a fair value gain on the financial liabilities for our debt instrument in the current period. Our loss before tax was $33.2 million. It's a modest increase from prior period. This reflects a typical early launch dynamic where investment proceeds revenue scale. The Sofdra adoption continues to grow, we expect our revenue growth to start outpacing our cost basis here. With that said, I will now turn it back over to Howie.
Howie McKibbon: Thanks, Chris. Let's go to the next slide, David. So as we're looking at the future here, I want to discuss some of the catalysts that are going to drive company performance and value over time. Of course, we're going to continue our focus to deliver on Sofdra. We've talked about it. It's a new chemical entity, IP going out to 2040 and a very large TAM with which to go after here, not only with the physicians that we're calling on, but in the future and other ways to get to patients. So it's very important to us with regard to our flagship product. Now that said, our fulfillment platform provides opportunity. It's proven to be able to perform at much greater scale. It's proven that the insurance clearance rates over time are improving with the knowledge base and the implementation and physicians understanding how to interact with the platform itself. And gross to nets are going to continue to improve as we target that 30% to 40%. So putting something else or another asset onto this platform is something that we're very focused on and something that we believe will not only increase our net sales, our pathway to profitability being faster, but also it's something that is fairly accretive. It's not going to cost extra dollars. We have the same sales representatives. It's the same platform, and we don't have to add development costs. We also want to focus on our secondary supplier. We believe that we're going to decrease cost of goods 25% to 40%, and we're well on our way in that selection process. Next opportunity is to expand Sofdra licensing to other regions for increased revenue. So as you know, it's already out-licensed in Japan, but we do have -- and launched in Korea, but we also have the rest of the world with which there is opportunity to provide Sofdra to those patients through licensing deals. And finally, the long IP runway, as I stated multiple times to 2040, it elevates Botanix value proposition for mergers and acquisitions. In our experience, what other companies or potential suitors look for are the area under the curve with regard to the value, how long that product is going to last. And do you have the appropriate areas like supply derisked. So we are ensuring that we are maximizing all of those opportunities there. But again, focus is on Sofdra, but we do now have the opportunity to add additional products to this platform that's proven itself in the marketplace and most importantly, gotten very positive feedback from the physicians who ultimately will be using the platform. Next slide. Okay. As discussed earlier, after the period ended, Botanix received firm commitments for $45 million capital raise. We received $14.9 million in funds to date under that raise, and the balance will be subject to shareholder approval at our meeting scheduled on April 1, 2026. And again, you can refer to the Notice of Meeting released to the ASX yesterday for further information. The proceeds from the placement in SPP are intended to be applied towards API and manufacturing component purchases, alternate API supplier setup, advertising and marketing initiatives, operating expenses and working capital as well as the transaction cost, of course, of the raising. I encourage you to review the company's investor presentation from February 17 for further details regarding the proposed use of funds from the raising. And certainly, we'll be focusing on ensuring that these funds are used as intended. Next slide, please, David. So as I just mentioned, the company is obligation to purchase further API under its existing supply contract. And I wanted to go into further specifics here, just to clarify so we could all understand. Number one, Chris and his team are focused on making sure our expenses outside of API are very consistent and very predictable. With regard to our current API supply contract, we would have purchases in March of '26 and April of '26, then again on January of 2027. Now after that, the contract requires one purchase per year as late as December of that year in '28, '29 and '30. So what we're focused on now is moving the April 2026 payment as well as the January 2027 payment to future years to free up working capital during our launch phase to be able to focus our funds on generating demand. So we're currently in advanced negotiations with our existing API supplier, where Botanix is seeking to spread those upcoming purchases and payment obligations, which are currently scheduled for April and January. We want to do that over future years. Now separately, the company has been negotiating with alternate API suppliers with a view to reduce the cost of goods sold or COGS, increase our gross profit and decrease the company's current single-source supply chain by having another option. So we're focused on this initiative, frankly, because the 25% to 40% reduction in COGS is very meaningful to gross profit. And if we succeed in one or both of these negotiations, that could materially smooth future cash flows and likely -- not likely will decrease COGS significantly, we add a secondary supplier, which we'll be focused on in the coming year. Okay, David. next slide. So we'll close out here before we turn it over or back over to Vince for Q&A and closing comments. But we're pleased with the output and success of the first half of the fiscal 2026. The sales professionals have done an outstanding job. The fulfillment platform has operated above our expectation. And again, it's scalable. There's a strong opportunity for Sofdra. We talked about the 10 million patients in this underserved market and the perfect time to have a product with overwhelmingly high physician and patient satisfaction. So we're pleased that Sofdra is also performing even better than expected regarding its clinical and safety profile. More importantly, dermatologists are highly promotionally sensitive to the product, and we've continued to see double-digit prescription growth. And we're confident in the future of the product, both from a clinical, safety and adoption perspective and maximizing that opportunity until 2040. We've also discussed our differentiated platform and what it's doing for patients, physicians and refills. We talked about the fact that it can immediately improve margin for almost any product and it's scalable. So we have opportunity here with Sofdra, but a very bright future with regard to what this platform can do and the value of it, both to us and potentially to external seekers. We built a solid foundation for future growth and profitability. So clinical development was derisked when we got the approval of Sofdra. Execution was derisked with the hiring of the sales specialists and the expansion of the sales force. So they're out, they're performing, and we're looking forward to what the output is going to be as this market goes back into its growth phase over the summer. Operations were derisked with the validation of the platform, and we're moving toward that additional supplier to create manufacturing efficiencies, redundancy and a decrease of COGS by 25% to 40%. Each of these serve as a foundation for growth for Botanix with 50 high-performing sales specialists to continue to grow Sofdra in an environment where 90% of the doctors that we surveyed expect to increase prescribing in the fiscal year, we see a bright both near-term and long-term outcome. They also have the capacity and talent for additional products and our fulfillment platform is ready to meet the need at the appropriate time. So our focus is clear: perform on Sofdra, look for ways to maximize this platform and its scalability and maximize the value of Botanix. So now I'll turn it back over to our Executive Chairman, Vincent Ippolito, for closing comments and Q&A.
Vincent Ippolito: Great. Thank you very much, Howie and Chris for the presentation. So this concludes the formal part of the presentation. And we're going to jump into the questions. We did get a lot of them here. I've tried to consolidate, as I mentioned earlier here, some of the questions together, and hopefully, we'll be able to address some of the questions that you had in this. We're going to focus on the questions related to the half year report that was presented in the presentation today and released also today. We'll do our best to answer as many as we can. But also note that we can't provide any additional color on questions that haven't already been publicly announced into the marketplace. So if you have questions about the raising, as mentioned during the presentation, we encourage you to review the announcements today, especially the ones released on February 17, the Notice of Meeting that was released yesterday and the prospective, which is expected to be made available very shortly here in mid-March. And as I mentioned earlier, all questions are monitored and moderated. So with that, I'm going to jump into the questions here. Howie, there was a number of questions regarding API here. And there's 3 of them. I'm going to go through for you here, all related to that. So the first one was why does it take so long to set up an additional API supplier? And why did you choose the current API vendor?
Howie McKibbon: Yes. So there was only one API vendor at the time we bought Sofdra. And currently, no other vendor makes the API. It's a new chemical entity. So it's not something you can just purchase off the shelf. So Kaken, they launched the product first. And back in 2020, years before the launch of Sofdra, and they worked with a third-party supplier to develop the API for use in their own product, and that's where we got our API. So the only option at that time was to purchase the API from the world sole supplier. Now that said, the second part of that question, why does it take so long? Because they're not already set up, right, or existing there, we actually have to create the supplier. So we do partner with those who have the skill set -- but it takes time to transfer the technology, number one, to validate the process, go through the appropriate inspections with the FDA and ultimately create your validation batches. Now that's not a scenario like a drug approval where you're going through all of these trials and you don't necessarily know how they're going to end up. It's something that is done. There's a pathway to do it. It just does take time. It does take dollars in order to accomplish that. And when we first got the product, we didn't have the money to be able to do both. So we had to rely on this sole source. It is typical over time for companies to develop and then utilize an alternate supplier. And in this case, it's going to benefit us because we have the opportunity here to save 25% to 40% of COGS and frankly, create redundancy within the supply chain. But in a nutshell, you can't just go buy it off the shelf.
Vincent Ippolito: Okay. The second question, Howie, around the API was one maybe just of a clarification here and whether or not the company has to purchase API 3 times a year going forward. And the question was referring to the March payment, the April payment in January. Is that the pattern for API purchases?
Howie McKibbon: No, it's a good question, and I want to make that absolutely clear. We're not committed to purchasing API 3 times a year in the future. The next 3 purchases were scheduled for March, April of this year then January of 2027. That carries us to 2028. We'll onboard an alternate supplier by then. The current contract with our current API supplier just requires purchase per year in '28, '29 and '30. And it doesn't specify when. So said another way, they can be as late as December of each of those years. So this is a bit of an anomaly with some historical context. That said, we are currently in advanced negotiations with our existing API supplier to spread those payments over time. We'd like to be able to move the April and the January purchases and payment obligations out to future years, freeing up our working capital in the short term.
Vincent Ippolito: The last one in this section here, Howie, is about -- there's been a lot of discussion about the API alternate supplier. Is this something new? And why is the company so highly focused on engaging an API supplier? Can you explain the rationale?
Howie McKibbon: Yes, sure. I think it's 2 parts. We previously disclosed that we were exploring additional API suppliers and documents released as early as April of last year. And we found when we're evaluating those potential partners, that was significant cost savings to COGS and increased gross profit. As I said earlier, 25% to 40%. So it's twofold there, right? You're increasing your gross profit, but you're also derisking the supply chain with redundancy. And again, it's not something that's an anomaly in pharmaceutical companies. We typically do to the extent that we can and can afford it, need more than one supplier in the event of any type of stoppage or catastrophe, et cetera. So from a fiduciary responsibility, it's something we should be doing. In this case, it's actually going to contribute to gross profit in a very positive way.
Vincent Ippolito: Great. Okay. Chris, this one is from you -- for you. Why did we raise $45 million in this last equity raise? And how is it going to be deployed?
Chris Lesovitz: So in the previous slides that we just went through, you'll see a use of fund slide. Within that, it layers out all the costs associated with the $45 million. $12 million of it will go to the API and the manufacturing component purchases. $4 million of this will go to our API supplier setup. $13.5 million will be allocated to advertising and marketing initiatives. $13 million of it allocated to operating expenses and working capital, and there was about $2.5 million of transaction costs related to the raise. I encourage everybody to go read the company's investor presentation back on February 17, and you can get further details regarding the proposed use of the funds from the raise.
Vincent Ippolito: Thank you, Chris. Howie an older question here on the synthetic cannabis platform here from a shareholder that purchased -- this must be a long-standing shareholder because he purchased shares back when it was just synthetic cannabis, and we were in development of those products and asking, are these products still under development? And if not, what's happened to them?
Howie McKibbon: So let me speak to that directly and then just a general philosophy on this. So the focus right now is on Sofdra and potentially acquiring other products that will be successful on the platform. And the reason for it is there are no additional costs in adding those products to the platform. We believe it's better to acquire an approved revenue-generating asset at this point in the company's stage than to invest in clinical trials. And you think about that, the ability to get a revenue-generating asset that is maximized by a platform that gives us competitive advantage pays off immediately. Those Phase III trials that could be upwards of $30 million to $50 million moving forward may or may not pay off when they're finished. And there's different times you do this at a company stage. But our focus is on getting to profitability. And then from profitability, you then have optionality. And what we try to do is look at every opportunity each year, each quarter, agnostic to whether or not it's in our pipeline or not. What's the best product, the best opportunity for Botanix shareholders right now, whether we own it or whether we're going to acquire it. So that will be our focus, and we'll continue to operate that way so that we're just maximizing shareholder value.
Vincent Ippolito: Thank you. Howie, a question came in on payer engagements. And so now we're in a new calendar year. Has there been any significant changes to our payer landscape, whether that's positive or negative? And can you just kind of explain how do those interactions on an annual basis work with payers?
Howie McKibbon: We're actually in constant communication with the payers, either from administrative purposes. I do think they rebate us -- I'm sorry, they send us invoices for the rebates they're going to get every quarter. So there's obviously a high level of communication there. That said, the contracts that we signed have varying terms, but they're all longer than 1 year, right? Typically, in pharmaceuticals, you'll see them be 3-year contracts. And from our perspective, we're very confident in the levels of rebates that we've engaged in with our payer partners in this case to remain fairly consistent over time. We'll continue to have discussions. What we do see, Vince, and whoever asked the question is you'll see sometimes those plans who are part of a pharmacy benefit manager or managed by them, sometimes they'll opt in to a rebate and they'll cover Sofdra where they weren't previously covering Sofdra. But that said, we have commercial coverage for the vast majority of lives in the United States because of the work we did prior to the approval of the product.
Vincent Ippolito: Thank you. A question here, Howie, on the platform and products on the platform. So it's really a couple of questions. I'll just put them together because they're very close here. So who owns the platform? And what's really the role between Botanix and SendRx? And if you think about additional products for the platform, what would fit nicely if you were to go out and seek some new products on there?
Howie McKibbon: Okay. So we don't own pharmacies at Botanix. We partner with them. So SendRx is a partner for us in dermatology. Now this partnership is a little different than just signing up a vendor. We've actually linked in all of our data feeds to get de-identify data that go to our data warehouse on a very frequent basis to understand exactly what's happening for each patient, for each prescriber and the payer that's associated with reimbursing that prescription. So that partnership is something that we've contractually signed into that they're committed to. Also provides them with a significant amount of additional revenue to their business. So it's a very win-win situation and goal-aligned situation for us there. Now that said, a product that could go on the platform, look, there are plenty of underperforming products out in dermatology. We've cited in the past that the average fills per patient in derm is 1.8 to 2 fills per year, right? Our fill rate is 2 to 3x the industry standard there. So any product that is that industry standard is going to immediately or is likely to immediately increase simply because of the refills and the stickiness of the patient. Any product that has good coverage, but low insurance clearance rates because of the inability to navigate the clearance process will benefit from that as well. And third, the ability to put product there on consignment allows us to save considerable dollars on the gross to net because you're bypassing the wholesaler. So all these things lead to increased fills per patient and improved gross to net for those products that would by industry standard be typical. So we're looking constantly for those types of opportunities in larger markets where putting in our sales representatives bag, having them mention the product and letting the doctor know they can get it the same way that they get Sofdra would be immediately positive in our opinion, and frankly, based on the opinion of our physicians that we've surveyed.
Vincent Ippolito: Howie, one quick one here. It's a clarification on definitions here. And just what's the difference in the early days, we spoke about a fully reimbursed script, mainly before we launched. What's the difference between a fully reimbursed script and now with the gross to nets that when we speak of gross to nets today, that amount of revenue that we're keeping. So it's mainly focused on the definition of what are these 2 things here.
Howie McKibbon: Okay. I may have to ask you to repeat the second portion of that, but a fully reimbursed script, it's that prescription that has come in and the payer has paid the portion agreed to contractually and the patient has sent their prescription. In certain cases, if it's taking time to get through the clearance process, we'll make sure that the patient gets a prescription anyway. And that second prescription will be fully reimbursed. So the whole idea is to make sure that every patient gets it and that we go through the insurance clearance process for each patient. But for some reason, it's delayed, you ensure the patient gets it and that first prescription is not fully reimbursed. Was there a second -- a follow-up to that?
Vincent Ippolito: Yes. Sorry, Howie. I noticed my audio cut out there for a second on that. The second part of that question is, how do you contrast then for the revenue that the company is keeping when we report our gross to net versus that fully reimbursed script because obviously, it's a lower amount.
Howie McKibbon: Yes, that's right. It's all considered in your gross to net, right? That's why over time, that gross to net improves. You have a larger percentage of fully reimbursed prescriptions. You're having to provide less prescriptions that are not reimbursed. And certainly, as the refills continue, you're getting a higher number of prescriptions that are fully reimbursed. But for clarity, everything is included in that gross to net.
Vincent Ippolito: That's it. Great. We only have time for just a couple more questions. And an additional question came in, Howie, on the API purchases here. It's a good one. So I wanted you to address it. So you mentioned in the deck, there are API purchases in March and April and in January of next year. Can you clarify the 2028 through the 2030 purchases you mentioned in the deck?
Howie McKibbon: You bet. So there's one purchase required in each of those years, and it can be any time during that year. So think about it -- you could do it in January, but you can do it as late as December of that year. And that's what the current contract calls for. So again, you're not repeating this current requirement of 3 per year. It's 1 per year, and the timing of those purchases can be determined at a later date.
Vincent Ippolito: Okay. Great. And I'm going to take this last one here before we conclude. It's why did you raise at $0.06 and include the option on a one-to-one basis. So when we considered raising and equity raising was the preferred way to raise the funds, the amount that we needed and at the time we needed them. We went to the marketplace, and we used 2 very highly reputable, experienced joint lean managers, well known in Australia to help us do the work on the fundraising. And the fundraising package, including the intention to offer one-to-one options to placement and SPP participants was the funding package that we were able to obtain in the market at the time we were seeking to raise the funds. And akin to that, as we announced yesterday, there's going to be an Annual General Meeting of Botanix shareholders here, the General Meeting of Shareholders on April 1, 2026. And we encourage all shareholders eligible to vote to lodge their proxy forms to this meeting as soon as they receive it and as soon as possible. So we'd like to thank you all for participating here. I'd like to thank Dr. Howie McKibbon and Chris Lesovitz for the presentations today and the large number of questions we received from all of you and your interest in Botanix. Thank you for participating and have a good day.